Massimo Reynaudo: Good morning, good afternoon. Welcome to the UPM 2023 Results Webcast. My name is Massimo Reynaudo. I'm the CEO of UPM. Here with me is Tapio Korpeinen, CFO of UPM.
Tapio Korpeinen: Hello to everyone on the line.
Massimo Reynaudo: This is my first presentation of the results after I took over the current position at the beginning of the year. I'm very happy to be here today, and I look forward to the possibility to meet you personally during the next weeks and months. But now let's get to the results. All in all, we delivered a solid performance, solid results for the full year 2023 in a challenging operating environment. During the first half of the year, we had to cope with an exceptionally sharp downturn, especially in the European markets. Consumer product markets slowed down and unprecedented destocking affected the deliveries of most products well beyond the normal cyclicality. Pulp and energy prices fell to cyclical bottom levels during the summer period. In the second half of the year, we have seen signs of gradual recovery in many product markets, and we have been able to deliver improving earnings. Our quarter four comparable EBIT increased by 47% from the previous quarter and comparable EBIT margin reached a level of 12.8%. The highlight of the year has been the completion of two transformative investments, the Paso de los Toros pulp mill in Uruguay and the Olkiluoto 3 nuclear power plant unit in Finland. Both started production in the second quarter and contributed to our deliveries during the second half of the year. 2024 will be the first full year of production for both units. Besides ramping up these projects, we implemented a number of successful initiatives in the area of margin management. We took decisive actions to reduce variable and fixed costs and adjusted our capacity to the reduced demand. In 2023, our operating cash flow reached a record level, and our financial position continues to be strong. Now in the beginning of 2024, we can say that we have turned the corner in an exceptional business cycle. But before talking about 2024, I'll hand over to Tapio, who will discuss the quarter four results in more detail.
Tapio Korpeinen: All right. Thank you, Massimo. So as Massimo already mentioned, we were able to deliver continued sequential recovery in our earnings in the fourth quarter of 2023. Margin management continued to be successful in the fourth quarter. Our actions on reducing costs and adjusting capacity were bearing fruit as well. Demand for many of our products was gradually improving. Pulp and energy pricing increased even though they remained well below previous year's record levels. And our growth projects contributed to our deliveries in the fourth quarter. The demand for many European products were -- was gradually recovering in the fourth quarter. As in our view, the destocking started to be largely over. During the fourth quarter, the underlying consumer products market started to show some signals of improvement as well. Looking at the UPM products, pulp and energy demand were on a good level. In the case of energy it was due to the fact that winter arrived here in the Nordic area, weather was cold and then consumption of energy and electricity was at a good level. Demand was sequentially improving for label materials, specialty papers and Communication Papers. We have used the self-adhesive label materials market in Europe as an example and as an illustration of the extraordinarily sharp downturn in 2023. And as you can see here in the updated slide or curve, label materials deliveries bottomed in the first quarter and then gradually improved during the second half of '23. And Q4 market deliveries increased by 8% sequentially from Q3 and were 5% higher year-on-year. But still, the level of deliveries was slow compared with the normal market activity as compared to the recent years. On the group level, looking at the different UPM businesses across the different businesses, our average deliveries to capacity ratio in the fourth quarter was still in the mid-70s, so at a low level. And one can sort of make two points on this. First of all, we have been able to maintain solid performance even during the period of unusually low volumes and low operating rates. And second one can say that, obviously, we are well-prepared to take advantage of the continued recovery in product demand as we have available capacity. Now let's take a look at the Paso de los Toros mill. First, in the fourth quarter, we did have ramp-up related production issues, and therefore, production remained at the same level as in the third quarter. These issues that held back our production have been resolved. And in January, production has been on a good level. So we did not quite reach the targeted full run rate by the end of the year, but we [indiscernible] to be close. In total, that means that the mill produced 850,000 tonnes of pulp in 2023. And as we now are progressing on the ramp-up curve, we expect this production volume more than double in the current year 2024. Looking at profitability; the mill was EBITDA positive in the second half of last year '23 and we expect it to turn EBIT positive during the first half of this year '24. The mill will be highly competitive, once in full production and optimized. And here, we have the waterfall chart where on the left-hand side, you can see Q4 comparable EBIT development compared with the previous year. Lower sales prices explain the decline in EBIT prices decreased in all business areas, except for plywood. A clear majority of the negative price component you can see here is coming from pulp and electricity sales prices. This impacted EBIT in fibers and energy business areas. In other business areas, margins have been maintained at a healthy level with variable cost decreases roughly offsetting price decreases. Deliveries were significantly higher, supported by volumes from Paso de los Toros and Olkiluoto 3. And on the right-hand side, you can see the fourth quarter comparable EBIT development sequentially compared to the third quarter '23. In this comparison, the net impact of sales prices was neutral. Pulp and energy prices increased somewhat, whereas many other product prices decreased. Variable costs continued to decrease from the third quarter, although at a somewhat lower pace than in the previous quarter. In addition, the timing of the energy-related refunds in the Communication Papers was last year, heavily weighted to the fourth quarter and caused a seasonal decrease in energy costs. So this sort of seasonal impact on the refunds represents about or almost two-thirds of the variable cost decrease that you can see here. But on the other input items, there was a tailwind as well. Maybe on this energy refunds, it's worthwhile to say that this is, as I'm sure most of you remember, a topic that we have had in the previous years as well. So nothing new from that point of view, the timing and the level amount of the refunds sort of varies from year-to-year. So this year, it was heavy to the fourth quarter but the point being that this is not a one-off item, but something that we have had related to our energy consuming businesses in Germany and Finland as well. Then still on this chart, the deliveries increased slightly and fixed costs were seasonally higher. Then here, you have the EBIT development by business area. Fibers results improved in comparison to the previous quarter as market prices for pulp were on the rise and variable cost decreased. The average pulp price increased by 7% from the third quarter, but was 40% lower than the fourth quarter last year. And as already mentioned production at the Paso de los Toros pulp mill remained about at the same level as in the third quarter. Communication Papers achieved strong results in the fourth quarter and for the full year '23 as well. The business generated a record high cash flow and strong results despite low capacity utilization rates. This is due to margin management that was successful. Cost containment actions were taken and also production capacity was aligned to the low demand. In '23, the annual energy-related refunds particularly contributed to the fourth quarter earnings, as said and therefore, let's say, the sequential increase in profit mostly was related to that, but there was some improvement in the underlying profitability as well. Modest improvement in market demand continued for our two businesses in the packaging value chain. Specialty Papers results improved and was at a good level. Raflatac's performance was seasonally weaker and the business continued cost reductions and adjusting capacity to current demand. Energy results improved from the previous two quarters as energy consumption and prices increased as said, due to cold weather across the Nordic region. Our hydro and nuclear power generation volumes were good. During the full year 2023, however, energy consumption in Europe was exceptionally low and prices were much lower than in the previous year. Plywoods results were stable in slow markets. The business implemented temporary layoffs at mills at all mills to align capacity to demand. And then in other operations, prices developed unfavorably for biofuels. And here, you can see our operating cash flow for the quarter -- record strong for the -- for the full year or this is showing the full year actually. And again, full year operating cash flow totaled €2.269 billion, supported by cash inflow from energy hedges. Working capital decreased by €104 million despite ramping up of the growth projects. In the fourth quarter, operating cash flow totaled €465 million, including a working capital release of €211 million. So our financial position continues to be very strong. Net debt of €2.43 billion at the end of 2023 which means net-debt-to-EBITDA ratio at 1.55x.Our cash funds and committed credit facilities totaled €3.6 billion at the end of the year. So liquidity is very strong. During the fourth quarter, the €4.3 billion credit facility that we had originally maturing in 2024 was cemented to €1.5 billion and maturity extended to 2026. And here, you have our outlook for 2024 -- we expect our comparable EBIT to increase from '23 to '24. And this is driven by higher delivery volumes, continued ramp-up and optimization of Paso de los Toros pulp mill and lower fixed costs. We expect that demand for many UPM products will continue gradually improving. The year starts with lower price level for advanced renewable fuels compared to last year. We continue to manage margins and take actions to reduce variable and fixed costs. In the first half of 2024, we expect our comparable EBIT to be lower than in the second half of 2023 due to the timing of the energy-related refunds in the fourth quarter last year and due to unusually high maintenance activity during the first half of this year. During this first half, we have scheduled maintenance shutdowns in Paso de los Toros, Fray Bentos and Pietarsaari pulp mills and in all three units of the Olkiluoto nuclear power plant, including Olkiluoto 3. We expect a maintenance impact of more than €100 million during the first half of '24 and about €30 million would take place in the first quarter. Most of the maintenance shutdowns will take place in Q2. And we will guide this Q2 impact in more detail when we discuss our first quarter results. Now I'll hand it back over to Massimo to discuss our direction and focus areas.
Massimo Reynaudo: Thank you, Tapio. Well, whilst our financial performance in 2023 was solid we did not meet our own targets. The downturn is worth recognizing it. The downturn in the market demand was deeper and lasted longer than what is the normal cyclicality in this industry. And the unusually low market activity impacted prices, especially in Europe, specifically pulp and energy prices. Now when we consider these conditions, achieving a 10% EBIT margin remains anyway, a relevant achievement. And that's because our operating model proved to function well also in the downturn. We succeeded pretty well with margin management in different businesses. And we were rather quick to adjust our variable and fixed costs to the new reality. Our robust cash generation is another proof of the solidity of our business and operating model. But when we look forward, we can say that we have turned the corner in this cycle. As Tapio has described, we have seen earnings improving during quarter three and quarter four, and we expect our earnings to improve in 2024. But before we look forward, let's briefly look behind. And during the last four years, we have invested about €4 billion on transformative growth initiatives. The focus is now on delivering the expected return on these initiatives. But now let me give you some detail on where we stand with each of these projects. Paso de los Toros, well, Tapio has mentioned what the situation there is, the ramp-up is ongoing. It is our largest of our recent investments. It is highly competitive and once in full production and optimize, it will grow our pulp capacity by more than 50%.With it, we will have about 60% of our pulp capacity based on a very competitive plantation platform in Uruguay. Last year, it's been a startup year. The EBIT contribution was negative. However, as the ramp-up continues, Tapio mentioned it before the mill is expected to turn EBIT positive during the first half of this year. Besides that, another significant investment is in the biorefinery in Leuna in Germany. It represents for us the entry into a new market, the possibility to build a new and highly attractive business in biochemicals produced out of renewable wood-based feedstock. The customer demand and the interest for these products is high and the refinery is scheduled to start production by the end of this year. At the same time, the detailed commercial and basic engineering phase for a potential investment into a biorefinery in Rotterdam continues. Always in this area of biofuels, during quarter four, we started the process for the qualification of the renewable fuel currently produced in our Lappeenranta mill sustainable aviation fuel. This would be the first wood residue-based suitable aviation fuel on the market. Last, definitely not least, Olkiluoto 3. Well, the nuclear power plant is now in regular commercial production. And this is important as it grows our energy business by nearly 50%. And we have now a strong platform of CO2-free energy that support our -- and the economic -- the green transition of the economy and also allows us to play our part in contrasting climate change. But these investments have generated cash outflows in the past years. The intensity of our capital expenditure is represented here in this slide. The slide illustrates also that the most intense phase of this investment cycle is approaching its end. In fact, our capital expenditure for 2024 is expected to be €550 million, which is slightly below the depreciation for next year. And that includes about €300 million for the completion of the Leuna biochemical plant and some €250 million of operational investments in the rest of the business. The growth coming from all these investments I've been talking about will become a positive and further contribute to our future cash flow generation. I'd like also to take a minute to remind that whilst we have interesting and exciting growth opportunities into existing or new businesses. We have a business portfolio that is not all about growth and top line growth only. For example, in our portfolio, we have the Communication Paper business that operates now since many years in a situation of market characterized by a decline in the demand. The role of this business in our portfolio is to generate cash and through the cash generation from the evolution of our company into markets with higher growth and higher margin potential, which is what we are doing. Well, this business had again a robust performance in 2023 in robust market conditions. The circumstances being explained earlier on by Tapio, but here, I'd like just to remind and reflect on the fact that this business generated in the last five years from 2019 to 2023, €1.9 billion of free cash flow, which is including, therefore, all investments and restructuring payments done in this area. I would say this proves the solidity of the strategy and its execution in Communication Paper, something I'm particularly and also personally close to having had the possibility and the honor to be part of this organization. But when we broaden it up, it proves the solidity of our strategy and the effectiveness of our business portfolio that demonstrate the ability to deliver strong performance also in challenging circumstances. We will surely take good care of Communication Paper also in the future. Today, the Board of Directors has proposed a dividend of €1.5 per share to the Annual General Meeting that will take place in April. This is the same amount paid in 2013. If we compare it to our earnings per share, it is a bit above the earnings per share. This represents about 107% of our 2023 comparable earnings per share. But this reflects the confidence of the Board in our business, in our growth prospects and also the solidity of our balance sheet. So -- and to conclude my presentation, 2023 was a highly unusual year, and we delivered solid results in challenging circumstances. During the second part of the year, we were able to deliver increasing earnings, and we expect the improvement to continue during 2024.When it comes to 2024, the priorities are clear, and they are about delivering continued performance improvement in an economic environment that remains volatile and with elements of geopolitical uncertainty. We will continue to work to deliver on our growth projects, but at the same time, we work to prepare future growth opportunities in biofuels and potentially in other areas. So this is what we will do when it comes to how we will do it. We'll stay firmly true to our values, and we'll ensure we'll continue to operate in a compliant socially responsible way. And we stay committed to contribute with our actions and plans to mitigate climate change, protect biodiversity, while we will continue to invest in the diversity and inclusions across our teams globally. We are planning to host Capital Market Day in London in September, early September probably, where we can discuss more about this as well as our present and future prospects. An invitation for this will be sent out soon. But before that, I trust there will be the opportunity to meet many of you already in the coming weeks, and I look forward to that. This concludes the presentation, and now we are ready for your questions. Operator?
Operator: [Operator Instructions] The next question comes from Robin Santavirta from Carnegie.
Robin Santavirta: First of all, related to Paso de los Toros and the Uruguay platform, could you comment on the capacity utilization of the new mill in Q4? And regarding to the new mill and essentially all of the platform in Uruguay, when should we reach -- when we should we expect the new mill and the platform to reach optimal efficiency? Is it during this year already or is it later?
Massimo Reynaudo: I think the first part of your question was about the capacity utilization during quarter four. As Tapio has indicated before, it was more or less in line with quarter three, and it was in the 70% area. The expectation was higher. There's been some technical hiccups. What's important is that they have been well-identified and they are being fixed. So now moving into the New Year we are starting to see the number of days where production gets to the nominal capacity increasing compared to what we have seen during quarter four. And we are seeing, as a consequence an increased output. Now having said that, it's a transition and we stay positive about the ramp up. But of course, it's a very complex project. We cannot exclude that there will be some other hiccups going forward. But having said that, we stay very positive about this ramp-up, I would say, during quarter four -- sorry, during H1, the first part of this year, the -- what will limit the total output will be the maintenance break, which is scheduled there. This too, the schedule is planned, I would say, it's an element in this part of the ramp-up of the mill. But yeah, getting into your question, progressive continued improvement during the first part of this year and approaching the nominal capacity during the second part of the year.
Tapio Korpeinen: And maybe to add to your question, when would it be optimized fully -- the -- like I said, we expect that we'll be producing more than twice the volume of last year, meaning that, let's say, ramp-up will progress well, but we won't have a full run yet this year towards the end of the year, we'll start to get there. So after that, of course, when you're at full stable run starts the work to sort of fully optimize the costs. So it will be, let's say, well into next year and even beyond that before we are at the optimum. But of course, as the volume and efficiency goes up, we see sort of improvement quarter-by-quarter.
Robin Santavirta: I understand. And the second question I have is regarding the energy refunds. Can you provide some guidelines on what we should expect for 2024? And is the majority going to be booked in Q4 as well this year? And just to clarify, these refunds are they related to total energy cost in Germany and Finland or are they related to taxation of energy in these markets?
Tapio Korpeinen: Well, maybe to start from the second part of your question, there are sort of several kind of components or schemes in a sense there is the so-called CO2 compensation payments that we received both in Finland and in Germany. And then in Germany, there are also sort of certain benefits or refunds related to the grid fees. And then as said earlier, we have had this in the previous years as well when exactly they can be booked in our quarterly result varies, but that is sort of accounting. They are still related to the full year use of energy in, well, various countries, but primarily Finland and Germany is where the sort of financial impact comes from. And perhaps not to say anything, we don't have sort of guidance for this year other than that last year, we were, let's say, relatively high level related also to the high level of emission allowances or emission prices that we have had in the past.
Robin Santavirta: And about the timing, is it Q4 again this year or is it unclear at this stage?
Massimo Reynaudo: That is still to be seen.
Operator: The next question comes from Charlie Muir-Sands from BNP Paribas Exane.
Charlie Muir-Sands: I just had a couple more on Paso de los Toros. I think the announcement that you were going to have a maintenance shutdown there already was a bit of a surprise to us. Can you just clarify that it's sort of a one-off related to the ramp-up process and that we shouldn't expect this sort of scale of impact recurring each year going forward? And secondly, related to that, another sort of Uruguay platform question, how far away from that ambition of $280 per tonne are you at the current run rate?
Massimo Reynaudo: Okay. Thank you for your question. I'll take the first part of the question, and I'll leave the second to Tapio. But yeah, the maintenance shut for Paso de los Toros is not unplanned. It's I would say, something relatively normal after one year from the ramp-up of a mill. So by that standpoint, it, of course, impacts the output during the first part of this year, but it will be also a way to reassess every process and everything into the mill. So it is going to be a further reassurance of further production stability going forward. So that's for the maintenance shut.
Tapio Korpeinen: Yeah. Typically, like we have said before, we sort of look to have maintenance shuts at our pulp mills every 18 months or so optimizing in a sense, the run. And again, let's say, it's typical and normal in a sense, plan that in the first year, you have the first shut earlier because that's where you can then fix issues that always come in a ramp-up. Concerning that form and this $280 per tonne, let's say, to your question, if it's how far in terms of time, like I said, let's say, we will get there over a couple of years here or it will take a couple of years at least before we get to the optimum there, like I said, we don't have, let's say, kind of a quantification of that. But in terms of how that progresses or has progressed so far but what can be said that, of course, like discussed earlier, in Fray Bentos, we did see, let's say, a significant step in the wood cost already because of the fact that inbound transport obviously is less now to two sites compared to one. And then, let's say, for Paso the sort of -- as I said, the sort of cost optimization will start in earnest after we have, let's say, stable operations also now during the first half of the year, we are taking the rail road into use or operation, which will, in a sense, help the logistics cost and sort of have the full scope of the investment in use.
Operator: The next question comes from Johannes Grunselius from DNB Markets.
Johannes Grunselius: It's Johannes Grunselius, DNB here. My first question is on your explicit guidance for the first half. If you can give some more color on that because I'm a little bit surprised you're not coming to a higher level in the first half, even though you provided us the details on quite significant the impact from planned stoppages. Could you perhaps add what kind of assumptions you are talking about here, you're planning for? Maybe give some idea of your volumes, assumptions, price assumptions and that will be highly valuable.
Massimo Reynaudo: Well, of course, we don't go into those details, but maybe just to kind of reiterate in a sense that we expect to have quite significant impact from the maintenance activity, more than €100 million for the first half of the year. And again, it's kind of good to remember that we have two kind of unusual shutdowns, the Olkiluoto 3 and the Paso, which are related to new plants having their first shutdown. So in that sense, in scale or duration, bigger shutdowns than your sort of normal operational shut. So that is obviously then kind of behind that sort of guidance that we are giving. As said, we do see improvement in the market conditions. But again, because of these items, then we stay at the below last year, second half level.
Johannes Grunselius: Okay. Okay. I was also wondering about the latest for the potential Rotterdam investment in fuel aviation plants. Could we expect an investment decision already this year? If that happens, when can we expect the first CapEx? I'm a little bit curious how we should think about CapEx 2025? I know it's a bit far out, but given that maintenance CapEx is as low as I think you said in the presentation [indiscernible]?
Massimo Reynaudo: Yes. When it comes to the potential investment in Rotterdam, well, the project is large, is important. It is complex as well. We are -- I would say we are continuing to do all the preparation needed both on the engineering part as well as on the other relevant part, the permitting, the development of the technology, making sure that we'll have sufficient and cost competitive flow of feedstock for it to be a good investment. So all of this takes time. We are in that process that for sure, but we are not, at this point in time, in a position to indicate a date for a proposal for a decision. So we'll keep you informed. But this is the situation, and we'll communicate more when we will have concluded this preparation phase.
Johannes Grunselius: Yeah, understood. My final question is what's going to -- the Leuna, it seem very forward-leaning on that project, good to hear. I mean is it possible that it could contribute to earnings already before the year-end or is it more a [indiscernible] early next year when thinking about incremental profits?
Massimo Reynaudo: Yeah. That's another big project. It's -- again, the commissioning there started. We plan the ramp-up of production by the end of the year. I believe there are more than 1,000 people working over there as we speak. So it's an extremely intense phase of development, all is proceeding as per [indiscernible], so which is positive. But from this to making, let's say, statements about when there will be impact and potentially the next question will be the scale, I think this is premature.
Johannes Grunselius: Okay, got you. Okay. Thank you, anyway. Looking forward to the Capital Markets Day.
Operator: The next question comes from Andrew Jones from UBS.
Andrew Jones: Just a few for me. I mean on the first half, I mean, a few people have been asking for a bit more detail, but can you just talk us broadly through the dynamics in some of those divisions. I mean Specialty Paper [indiscernible] pulp price likely to squeeze margins there. Can you just talk us through your expectations for sort of margins and volumes in Specialty Raflatac in -- through most of the divisions, please? And then just secondly, I'd also be curious about your views on the impact of the Red Sea shipping issues. I mean, I guess, Chinese buyers for pulp are pushing back on price at the moment. And so I'd assume that that decreases your netbacks to Uruguay and elsewhere, can you just give us an idea for how you think about how to quantify the potential impact on your business in the first half?
Massimo Reynaudo: Well, let's say, again, on the first half, of course, if you were sort of particularly interested in the kind of packaging value chain, Specialty Papers, Raflatac. So as I said, we have seen this sort of sequential improvement taking place in demand over the second half of last year. And as I said also, in our view, when we look at [indiscernible], the sort of destocking is more or less over. So basically, the volumes in our view, is now driven by the underlying demand directly. And there, we have seen already some indications from the consumer brand companies that also they expect now in the private purchases or consumption of their products sort of positive development from here. So that's why we expect that then we will see that sort of demand and therefore, volume recovery to sort of continue in this first half of the year. In the Specialty Papers, of course, let's say, increasing pulp prices means or the Specialty Paper business area as in, let's say, the fine paper area in graphic papers as well means higher costs, but we have been able to manage margins well. So we think that we will sort of succeed in that going forward as well. Certainly, that will be in the focus. Then on your question on the Red Sea, let's say direct impact in terms of our logistics through the Red Sea or the Suez Canal is rather limited. Of course, overall, it can put some pressure on logistics costs for sort of sea-bound freight more in general. Perhaps what we are seeing to some extent is that may cause some uncertainty of supply for some customers, which then turns the customers' focus back to availability and sort of safety of volume that they need. So there can be some, let's say, pluses and minuses actually coming from here. But of course, we'll see how the -- how broad or big an issue this becomes.
Andrew Jones: Okay, understood. So just to be clear on the downstream stuff, you would guess there's probably a sequential improvement in volumes, but you think that margins should be broadly stable into the first quarter.
Massimo Reynaudo: Well, all I can say is that typically, we have been, again, quite good in managing the margins. So we would expect that. And let's say, in other areas than pulp, we do still see some tailwind also into the first quarter on the input cost prices.
Operator: The next question comes from Ram Kamath from Barclays.
Ram Kamath: My question is related to Paper business. As you have alluded in your initial remarks, the Communication Paper recorded strong numbers, not only in 4Q but entire year despite of lower capital capacity utilization. If you can help us to understand what has changed over the years where the business is now able to generate healthy cash flow, which possibly were not possible a few years ago. And with pulp prices are rising, would you be able to pass the increased cost to final consumers?
Massimo Reynaudo: Okay. I think I can pick this question will be part of that business in recent years. Yeah, I believe that there are a mix of, let's say, structural market changes behind the change of performance and the internal activities. So when referring to the market changes during the last years and also during 2023, the decline of the demand has led to a number of exits and further consolidation in the industry, which has led to movement for in terms of the different roles and different market shares from the different players. Actually, a number of large players has decided during those times to leave the market either through conversions or exit or to invest in other areas, which has opened up opportunities for us given our positive statement and the determination to stay in this market. So this is, I would say, the more external set of factors. When it comes to more internal factors, we have, over time changed the structure of our deals, which were typically relatively long. We have ended up reducing the duration of our deals, volume and price commitments with our customers, which has provided increased flexibility, specifically important during times of extreme volatility like we've experienced last year, but also -- sorry, in 2022 as well as in 2023. But the other elements are down to having synchronized our let's say, purchasing or procurement cycles to our sales cycles. So this may give us the possibility to react rather quickly to cost variations and therefore, protecting our margins and our competitiveness at the same time, both in the inflationary cycle, 2022 as well as the deflationary cycle 2023. The rest is a lot of discipline into cost management and into reducing capacity when we believe that structurally cannot be utilized anymore and last year as much as over 1 million tonnes of capacity were discontinued or 18% of our capacity. So all these elements play definitely are all into protecting or wherever possible, I think raise the profitability during the last year while maintaining our overall competitiveness.
Ram Kamath: Okay. And if I may know, what was the quantum of energy-related refund in Q4, which is part of Communication Papers numbers? And wonder this impact -- this will also have its impact on tax rate as well because Q4, the tax rate is quite lower versus previous quarters?
Massimo Reynaudo: Well, it's -- like I said earlier in the comparison of variable costs, then out of that, it was almost two-thirds, but more quantum we don't sort of disclose on that. And let's say, as far as the taxes are concerned, no sort of direct impact from that as such. Of course, it's part of the bottom line of the business and then the sort of taxes flow out from there.
Ram Kamath: Okay. And final one from me. These pulp mills, which are going into a maintenance shutdown from this quarter. Can you just highlight or mention what would be the duration of the closure of this mill for the maintenance work?
Massimo Reynaudo: Which mill was that?
Ram Kamath: Pulp mills in Uruguay, particularly, how long these mills would be closed for maintenance work?
Massimo Reynaudo: Well, those details, we don't give, again, it's said in terms of sort of actual duration. But again, let's say, the Paso de los Toros one is a bit longer than what we are normally having as an operational shutdown, what we can say in the first quarter, as per the urgent market message that TVO has given of the Olkiluoto 3 shutdown that is taking place in the first quarter and then the pulp mill maintenance are taking place in the second quarter.
Operator: The next question comes from Patrick Mann from Bank of America.
Patrick Mann: Maybe just another follow-up on the guidance for 1H '24 over 2H '23. If we excluded the impact of the over €100 million maintenance and the impact of the energy rebate, would it be fair that you would expect to see continuing sequential improvement? So 4Q was better than 3Q, 1Q, 2Q through the rest of the year? That's the first question. And then the second question, if the dividend per share targets 50% of EPS over time, and obviously, the current dividend is more than the current EPS. Should we infer that the view is of the Board, is that at mid-cycle levels, your normalized earnings is €3 a share or higher?
Massimo Reynaudo: Well, let's say, on the first one, perhaps, again, without giving further guidance than we have already given in a sense, of course, what we have said is that we expect that the sort of business will improve over time as the markets are recovering. So in that sense, we think that the trajectory for the underlying profitability is for improvement than because of these items doesn't come through yet in the first quarter EBIT. And then on the second question -- what we have said there's a dividend policy that over time, at least half of the earnings per share will be paid out as dividends as the policy. And of course, let's say, the fact that we are maintaining the dividend is coming from the fact that we believe that there is a value of having a sort of a steady positive progression over time as earnings increase so a kind of steady development of dividend over time, not going up and down. So I guess first point is that the message there is that there is an expectation of the investments having made now to start generating returns, therefore, improved earnings. And then, let's say, this €1.5 per share is another statement of future dividends. So it's not a forecast of where our earnings might be in the future. Of course, they can continue to grow further over time.
Patrick Mann: Sure. And then maybe just one other follow-up question. Paso de los Toros, the difficulties in the fourth quarter, are you back on track in terms of your prior ramp-up or do you think this has put you back a quarter versus your prior schedule?
Massimo Reynaudo: Well, I would say that we are, of course, time-wise in a sense we fell behind from where we wanted to be. But otherwise, we are more or less, let's say, getting back to the curve that we were aiming for.
Operator: The next question comes from Laurent Vergnault from CreditSights.
Laurent Vergnault: Congratulations on stronger EBITDA this quarter. I just wanted to get a sense of how much annual EBITDA you will expect in the future from the Leuna biorefinery in Germany after full ramp-up.
Massimo Reynaudo: We have not let's say, given those kinds of figures. What we have said is that from the Biochemicals business as such, our kind of return on capital employed target is 14%. So let's say when the Biochemicals business is up and running, then we are targeting 14% return on capital employed.
Operator: The next question comes from Cole Hathorn from Jefferies.
Cole Hathorn: Tapio, maybe just a little bit more clarity on the energy rebates. You are helpful giving a bit of a quantification of kind of the $800-million-ish number, two-thirds of the variable cost. But maybe just expand on what are your expectations into 2024 from that energy rebate? Because I mean you've done quite a lot behind the scenes to reduce your CO2 footprint. You are getting those back. With lower energy prices across Europe, firstly, what do you think we could be looking at for 2024 versus 2023?And then on the pulp ramp-up and the maintenance costs, I was always had in my mind that it was kind of €30 million to €50 million impact from the pulp mills. So I would have thought the €100 million maintenance is a bit lower, I would have thought it would be a bit higher, which means that you should really see that profitability improve as your operating rates rise through the back half of '24. Just a little bit more color on how you see that profile with maintenance costs in H1 and then that kind of hockey stick improvement in the biorefining or pulp [position]?
Tapio Korpeinen: Yeah. If I sort of start with the energy rebates so again, what they are connected to is the use of electricity in our mills. Then the CO2 compensation is also related to the price of CO2. And let's say, of course, without, again, going into too much sort of quantification that we don't sort of disclose till last year's impact was high because of the, let's say, tightness in the energy markets, reflecting on prices, including CO2 and, let's say, our high use of electricity. So in that sense, again, we will -- we have had these rebates every year last year, let's say, the level was probably, let's say, at a sort of an unusually high level. But we will have the rebates this year as well. So perhaps no more than I can sort of give color on that. Then on the maintenance cost, like I said, we will come back to all, let's say, maintenance impact. I'll come back or we will come back to that. Then when we have the first quarter result, it includes both the actual cost. And then also the margin loss that is due to the, let's say, lost volume in the maintenance shut -- so that's why actually we'll come back with a better figure or more updated estimate after the first quarter without getting into forecasting prices and margins at this point in time.
Cole Hathorn: And then maybe a follow-up for Massimo. You mentioned that at 70% operating rates for the business as a whole if you get volume recovery through 2024, which you expect you should see some positive operating leverage. I just like your thoughts having managed the Raflatac division and the Communication Paper division in the past. How do you see that benefit of that operating leverage playing out? And are we in a position now with kind of Red Sea and shipping issues, is there a bit of restocking or supply chains looking to hold a little bit more safety stock that may bring forward some of those volumes and demand maybe faster in 2024? Just like to hear your thoughts on that.
Massimo Reynaudo: Yeah. Thank you for the question. Actually, it's a bit difficult at this point in time to predict all the geopolitical tensions in Middle East that will impact actually activity rates and so on. As Tapio has indicated earlier on, they may be, let's say, pushing customers towards more attention to securing continuity of supply, which may have positive effects. But again, this is getting into the area of the speculations at this point in time. What we can take as a fact is that, as you correctly point out, we've operated with, I would say, pretty successfully in 2023 and delivering robust performance with a relatively low operating rate. But now these operating rates represent an opportunity for us to catch up opportunities that may come, anytime they come, any direction they come from. The difference, if you want, between the two businesses in Raflatac and Communication Paper is that as it was illustrated in a slide, demand for Raflatac has started to sorry, for Raflatac in the label industry or value chain started to climb up again from the bottom touch during the summer time and the outlook for there, it's of a continued recovery. How long it will take to get to the pre-crisis levels, probably nobody knows, but this is the outlook whereas in Communication Paper, the decline of the demand at elements that were more structured than required structured capacity adjustment. But still also for that business, the -- there is room to accommodate for opportunities for sure. And our operating model is agile and effective enough as it has demonstrated in 2023 to be able to adjust rather quickly to these variations. Thanks for your question. I think we have utilized all the time that was planned for this. I thank you for your participation, first of all, for your questions. And personally, I look forward to continuing these conversations starting in the coming days and the coming weeks. Other than that thank you again, and have a nice day.